Operator: Hello. And welcome to the Robert Half First Quarter 2021 Conference Call. Our hosts for today’s call are Mr. Keith Waddell, President and Chief Executive Officer of Robert Half; and Mr. Michael Buckley, Chief Financial Officer. Mr. Waddell, you may begin.
Keith Waddell: Hello, everyone. We appreciate your time today. Before we get started, I’d like to remind you that the comments made on today’s call contain forward-looking statements, including predictions and estimates about our future performance. These statements represent our current judgment of what the future holds. However, they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. These risks and uncertainties are described in today’s press release, and most recent 10-K and 10-Q filed with the SEC. We assume no obligation to update the statements made on today’s call.
Michael Buckley: Thank you, Keith, and hello, everyone. Let’s start with revenues. As Keith noted, global revenues were $1.398 billion in the first quarter. On an as adjusted basis first quarter staffing revenues were down 18% year-over-year. U.S. staffing revenues were $759 million, down 19% from the prior year. Non-U.S. staffing revenues was $242 million, down 15% year-over-year on an as adjusted basis. We have 322 staffing locations worldwide, including 86 locations in 17 countries outside the United States. In the first quarter there were 62.3 billing days, compared to 63.1 billing days in the first quarter one year ago. The current second quarter had 63.4 billing days equivalent to the second quarter one year ago. Currency exchange rate movements during the first quarter have the effect of increasing reported year-over-year staffing revenues by $17 million. This impacted our year-over-year reported staffing revenue growth rate by 1.4 percentage points. Now let’s take a closer look at results for Protiviti. Global revenues in the first quarter were $397 million, $316 million of that is from business within the United States and $81 million is from operations outside the United States. On an as adjusted basis in global first quarter Protiviti revenues were up 35% versus the year ago period with the U.S. Protiviti revenues up 37%. Non-U.S. revenues were up 26% on an as adjusted basis. Exchange rates have the effect of increasing year-over-year Protiviti revenues by $6 million and increasing its year-over-year reported growth rate by 2 percentage points. Protiviti and its independently owned member firms serve clients through a network of 86 locations in 28 countries. We remind you that changes to the companies deferred compensation obligations are classified as SG&A or in the case of Protiviti cost of services with completely offsetting changes in the related trust investment assets classified separately below SG&A. Previously they were both classified as SG&A. Our historical discussion of consolidated operating income has been replaced with the non-GAAP measures of combined segment income. This is calculated as consolidated income before income taxes adjusted for interest income and amortization of intangible assets. For your convenience, we have included a supplemental schedule to today’s earnings release on page seven, highlighting the impact of changes in the deferred compensation accounts, to the summary of operations for the first quarter of 2021 and 2020. This is a non-GAAP disclosure, so we also show a reconciliation to GAAP.
Keith Waddell: Thank you, Mike. Our staffing results accelerated during the quarter indicating a faster early cycle pace of recovery than we have experienced in the past. This was very broad-based and seen across geographies, lines of business, client-size and skill levels. As I mentioned earlier, small and medium-sized businesses led the way after being more negatively impacted during the peak of the pandemic. The NFIB recently reported that 42% of small businesses had job openings they could not fill which was a record level. This bodes well for us. Our investments in advanced AI technologies have allowed us to adapt quickly to a new marketplace, where remote and hybrid work has become commonplace. Together with our people, these technologies enable us to find solutions to meet the critical talent and consulting needs of our clients across broader resource pools. Protiviti continues to thrive, with multiyear double-digit growth and a pipeline that is highly diversified across both solution offerings and client segments. Our blended solutions complementing Protiviti’s offerings with contract talent, allows us to be extremely nimble and cost effective in response to client needs and we expect this offering to be an increasing part of our business going forward. We are excited about our current momentum and our prospects for the balance of 2021 and beyond, buoyed by the strength of our brands, our people, our technology and our professional business model. We would also like to thank our employees for making possible two recognition awards we received just in the last few days. These are FORTUNE’s 100 Best Companies to Work for in 2021 and Forbes’ Best Employers for Diversity 2021. Now, Mike and I’d be happy to answer your questions. Please ask just one question and a single follow up as needed. If there is time, we will come back to you for additional questions.
Operator:  Your first question comes from the line of Andrew Steinerman with JPMorgan.
Andrew Steinerman: Hi. It’s Andrew. Keith, I wanted to ask you if you felt the U.S. has entered a brand new economic expansion, which bodes for particularly strong years of revenue growth at Robert Half? Or is there something about the 2020 recession that was just different than past recessions and it really kind of lands us more where we were in 2019 in terms of the economy, which really only supported mid single-digit revenue growth on our ongoing basis for Robert Half?
Keith Waddell: Well, Andrew, we would say that, it feels very traditional early cycle and just to quantify that a little bit, we looked at the first three quarters post-trough for the recoverypost.com, for the recovery post-financial crisis and for the recent. And as an example, three quarters post-trough, first time, temp up 13%, perm up 18%. After the financial crisis, temp up 9%, perm up 34% and this time temp up 18%, perm up 56%. Further, if you look at the peak to trough decline, those declines on the temp side are pretty consistent across those three cycles. Our people would tell you that the recovery feels very classic, that there is improving demand broadly across all the dimensions that I talked about, that as always, clients cut deep, they have got lean staff. As transaction volumes improve, as projects restart, they need more help, they need to restore their workforce, many times upskill, and so for us, it feels very classical. Traditionally, we have got a nice three-year to five-year runway, once we get into recovery, which we believe we are well under way as we have spoken about.
Andrew Steinerman: Perfect. Thank you.
Operator: Your next question is from Mark Marcon with Robert W. Baird.
Mark Marcon: Good afternoon, Keith and Michael. First of all, congratulations on the stellar results. I’d like to talk about Protiviti. Specifically, wondering if you can give us a little bit more color on the stellar results that they ended up having, as you mentioned, 14 straight quarters, 35% growth. If we take a look at the -- what you are forecasting here going into the second quarter, can you just dimensionalize, how much of the uplift is because you are getting more opportunities, broadly speaking more adept versus an improvement in terms of the win rate and really gaining share? And then can you also talk a little bit about what are some of the drivers, you did say it was broad-based, but I am wondering if you could give us some commentary with regards to the public sector work, the IT work, SPACs and obviously, we can see the results in terms of staffing in terms of what’s being eliminated for the intersegment revenue, so obviously that continues to go well. But just wondering if you can give some more color there?
Keith Waddell: Sure. And so, as you said, we are very proud with the 35% growth rate and it splits pretty evenly between what I will call core -- the core solutions, tech, risk and compliance, internal audit, which grew 18% year-on-year, totally exclusive of public sector and blended solutions. Blended solutions then grew 124%, adding 17 points to the growth rate. So you have got 18 points of the growth rate coming from core, you have got 17 points of the growth rate coming from blended solutions. And by the way, those blended solutions then split about 50-50 between public sector and non-public sector. So that sizes if you will the contribution to public sector. If you then look at their core solutions, in tech, which they have been very strategic about picking their shots as to practice areas, they have been very strategic about making the right hires at the right levels including very senior levels and so they are in cyber, they are in privacy, they are in digital transformation, data analytics. As I have talked before, tech consulting is now the largest core solution area for Protiviti. Risk and compliance remains very strong, anti-money laundering, consumer lending regulatory enforcement, our regulator exam preparation, all very good. Internal audit, as you spoke about, clearly benefiting from IPOs and SPACs. Further, they have got clients reinstating their internal audit budgets that have been cut last year during the pandemic, which also lead to our very aggressive -- conservatively aggressive we would call for Q2 with the budget for the guidance. The interesting thing about the public sector is it’s -- in blended solutions with staffing generally, it’s not just U.S. and we now have some sizable engagements outside of the U.S., which are contributing. So we are very pleased with that. As we have talked before those public sector engagements are around unemployment, housing assistance. A new and large opportunity we are seeing is in the education. There’s a lot of funding going to K through 12 and higher level, college level institutions that are going to get a lot of funding, that are going to need help distributing and accounting for those funds. We have been pleased about the renewals that we have gotten where we already are and we are organizing or mobilizing as we speak to take advantage of this education opportunity. So it’s one of those times where virtually every core solution area, as well as the additional work we are getting in blended solutions, not only from public sector but from non-public sector as well, so that we have got the Q2 revenue guide for Protiviti for up 40%.
Mark Marcon: That’s great. Thank you for the color. Just to be 100% clear, I mean it sounds like you are obviously getting all sorts of different opportunities. Can you comment a little bit just on the win rate relative to the Big Four, because I suspect you are continuing to win more, but just wanted to confirm that, number one? And number two, on the public sector, one of the things that we sometimes hear pushback on is the senses. Well, those are just temporary, they are only going to be here for another few months to a year and then they are going to fade, what’s your sense?
Keith Waddell: Well, on Big Four win rates, understand that the Big Four are frenemies. On one hand, we compete with them. On the other hand when they are conflicted because of their external audit engagements, we are the first party they refer to, because we don’t compete with them on external audit like the other Big Four. So I’d say our win rate is consistent and rising, particularly in the blended solutions area where they simply don’t have the capabilities that we have. And on this issue of sustainability with public sector, I guess, transitory is a word that our Fed Reserve Chairman likes to use. We have been very transparent that clearly there is a bulge dimension to the transaction volumes we are helping with. But we have also been clear that we believe we are building new relationships that we can leverage as they improve their processes, as they improve their controls, as they modernize their technology. So we are certainly aware that there is a window of time where we are going to have a very intense relationship with these state and local government and even local school districts, and we are working very hard to extend those. We have been very positively surprised or pleased with the extensions we are seeing, sometimes into the second quarter and third quarter with this work that we are already doing. So clearly there is a bulge element to what’s going in public sector, but it’s not only bulge and we think there’s an opportunity. And the point I have tried to make is and oh, by the way, totally excluding it, Protiviti’s still growing 18%. And so that other 17 points of growth in gravy and we love it and we think we can leverage it for longer term, but their core business is growing 18%, that’s a big number.
Mark Marcon: Totally agreed. Thank you.
Operator: Your next question is from Jeff Silber with BMO Capital Markets.
Jeff Silber: Thanks so much. I wanted to shift the discussion over to the perm segment, which really had a really good quarter much better than I think most people expected. Can we get a little color where you are seeing that trade either in the type of clients or the type of jobs they could place in?
Keith Waddell: The great news, Jeff, is that it’s our cross clients. And I would say, perm placement is more SMB than the temporary side and we are overall. So almost by definition, if it’s perm it’s SMB. But as I referred to earlier, it’s by functional area, meaning it’s accounting and finance and it’s technology and it’s legal and it’s marketing and creative. It’s by skill level, so it’s for the transactional level people, accounts payable, accounts receivable, payroll, general ledger as well as the higher senior accountants, accounting managers, controllers. So it’s very broad. It’s broad across geographies not only within the United States but outside the United States as well. Good news is candidates are getting more confident to make job changes, plus being at home frankly makes it easier for them to confidentially interview with our recruiters. So that’s good for perm. Very broad, very robust, we have got huge momentum going into the quarter. We gave you our post-quarter numbers, which were triple-digit growth. So perm, as our people would say, is white-hot at the moment.
Jeff Silber: Okay. That’s great to hear. Can we shift over to the international piece of your business? Can you just give us a little bit of color by country and also do you have any exposure in Mexico? Thanks.
Keith Waddell: Well, the latter part is easy. We do not have exposure to Mexico and we don’t do a lot of country-by-country discussion. I would call out that Germany and the U.K. had particularly good quarters. But frankly, there was nice recovery across our geographies in Europe and in Asia, so...
Jeff Silber: Okay.
Keith Waddell: All right.
Jeff Silber: That’s great to hear. Thanks so much.
Operator: Your next question is from Manav Patnaik with Barclays.
Manav Patnaik: The piece of the early cycle recovery has been faster than you have seen. But, I guess, I was just curious if you could compare it a bit to 2019 levels. I guess, what I am trying to get an idea of is, how much more is just left in terms of just pure catching up to pre-pandemic before we start thinking about what the future growth looks like?
Keith Waddell: Right. A good question. So we are about just over 20% below 2019 for the temp side and we are about 15% below 2019 on the perm side. And at our current pace, we fully expect to blow by 2019 sooner rather than later.
Manav Patnaik: Okay. And it just -- the other question I had quickly was in terms of competition, are you seeing any changes in the competitive behavior just given obviously is this big catch-up going on and I am wondering if things are the same or if dynamics have changed?
Keith Waddell: And is your question regarding our contract employees we put on engagements or our internal staff?
Manav Patnaik: No. I meant just more from competition with the on-assignment and other vendors as well?
Keith Waddell: Well, I’d say, on-assignment is a competitor in a very specific and relatively small part of our business, particularly since they focus on mid- and large-cap companies, even in tech we focus a lot on SMBs as well. So there’s not a lot of apples and apples there. But I’d say, the competitive landscape as to pricing vis-à-vis our competitors generally hasn’t changed much at all.
Manav Patnaik: Got it. Thank you.
Operator: Your next question is from Kevin McVeigh with Credit Suisse.
Kevin McVeigh: Great. Thanks so much and congratulations on the results. Keith, you talked about all-time high earnings, things like that. Do you think with the way the business is geared, you are positioned for structurally high margins or is it may be some inability to hire or excess capacity among the staff? How are you thinking about the margin trajectory of the business relative to where your staffing levels are internally?
Keith Waddell: Well, and so when we talk about profitability, those discussions have to start with gross margins, and as we have talked before, traditionally in a downturn, peak to trough we are down 300 basis points, this time we were only down 100. We are now back to pre-pandemic levels, pay bill spreads have recovered. We have got lower fringe rates because our higher pay rate divisions make up more of our mix, meaning more of the payroll isn’t subject to payroll tax. And we have also got this tranche of full-time contractors we have talked about that have higher margins and that’s growing as well. Temp to hire conversions currently 3.1%. They got -- they were 3.5% in 2018, 2019. They have been as high as 4% to 5%. So there is some up -- so there’s an upside there. We would caution in the short-term, like for Q2, Q3, we are projecting some sequential reduction in temp gross margin up to 40 basis points, because we have got to pay our temporary or contract staff for time off to get their vaccine and time off to recover from that, if needed. But that’s a short-term or hopefully transitory thing. On the SG&A front, from a headcount level, given we are still below even 2019, as I just said, we still think we have got capacity with existing staff, which on average is more fringent than it’s been in the past. That said, particularly on perm and replacement because of its very rapid growth rates, we are going to be -- we are going to begin slowly add to internal staff there as well.
Kevin McVeigh: Super helpful. And Keith, it sounds like from sourcing candidates that you are -- there is no issue there. Is that right or is -- how is it from a candidate perspective?
Keith Waddell: I’d say the candidate supply is more nuanced than meets the eye. On one hand, they are resistant for onsite opportunities, either because they are concerned about COVID, they don’t like the commute times, they don’t have child care, they have got school uncertainty for their children, they have got unemployment benefits. They have also got out of market opportunities, as well as local opportunities and many times, if they don’t live in a big city, they live outside of a big city, but they have got an opportunity now to get big city pay without even having to move there. So it’s a very nuanced situation with candidates. But the good news is, it allows us to add more value, because it’s more complicated for clients themselves to source candidates, particularly outside their local markets. So the combination of our experienced recruiters and the technology that we have developed give us an opportunity to add value. I would argue, in a new way and in an increased way because of all these candidate nuances. I think clients are understanding as they try -- as they always do to some degree, add people on their own. It’s a different world. It’s a more complicated world. And I think relative to clients doing it themselves and relative to our traditional competitors, which are local regional firms, they just don’t have the capabilities, they don’t have the recruiter relationships, particularly out of market such that if anything, our competitive positioning is better than ever.
Kevin McVeigh: Yes. Thanks so much.
Operator: Your next question is from Gary Bisbee with BofA Securities.
Gary Bisbee: Hey. Good afternoon. So the first one on the blended staffing, tremendous success you continue to have. Does that have any discernible impact on gross margins in the temp staffing business either up or down or is it generally relatively representative of what they are when you are staffing those people out to an external client?
Keith Waddell: Well, so first of all, the staffing temp gross margins we report are not impacted at all by that, because it’s been pushed over to Protiviti. If you are asking how the gross margins on the business with clients that’s serviced by both compares to our general -- our normal gross margins, I’d say they are at or maybe a little above, which is fantastic given that the client base skews much larger and typically staffing by itself going to those larger clients would have some margin pressure that’s been avoided by going to market together with Protiviti.
Gary Bisbee: But so is it safe to then say, hey, temp gross margin 10 points roughly above Protiviti. So the revenue growth there is helping Protiviti margins, because of that delta or is that the way you price it?
Keith Waddell: Well, and so, I would say, the blended solutions reported in Protiviti are accretive to Protiviti’s margins in large part, because there’s no pitch time or utilization reduction, because these people are 100% utilized. They are only paid when they are working by and large. So that utilization differential makes them accretive for Protiviti’s gross margin, because the large portion of Protiviti’s workforce is full time and utilization management has a huge impact on their margin structure.
Gary Bisbee: Yeah. Got it. And then even you gave a sense of public sector versus non-public sector. Even if we back out portion of public sector, it really feels like the blended solutions have gained tremendous momentum in the last year, but even the last several quarters, I guess, what...
Keith Waddell: Absolutely. Right. You take half of total blended solutions away…
Gary Bisbee: Right.
Keith Waddell: And what you have left is blended solutions that are non-public sector.
Gary Bisbee: Right.
Keith Waddell: And those are doing quite…
Gary Bisbee: They are half...
Keith Waddell: …quite well too.
Gary Bisbee: Half of year-to-year growth I think. So it’s $30 million or similar to what you said the last few quarters. The rest of it would be traditional. Is that a...
Keith Waddell: Correct. The rest of it’s doing very well.
Gary Bisbee: And why has the momentum picked up, is it just you are selling it more aggressively or the clients are responding and just trying to think about the durability of the drivers of that momentum? Thanks.
Keith Waddell: Well, I’d say, we are selling it more aggressively. We are consciously adding to developers that focus on selling just that service. We are adding to subject-matter expertise on the Protiviti side that manages those projects and so with the success we have had, success to get success. As I said earlier, it’s now gone international, which is really great. It’s not just a U.S. thing. We have got some wonderful wins outside of the U.S. So globally people on the staffing side and the Protiviti side, they just see that it works and they also see that nobody else has it.
Gary Bisbee: Right. Okay. That sounds great. Thank you.
Operator: Your next question is from Tobey Sommer with Truist Securities.
Tobey Sommer: Thank you. Given the sort of odd nature of the decline and robust rebound to-date, how do you think about bill rates and sort of compensation inflation in this cycle?
Michael Buckley: It’s -- I would say, wage inflation is usually our friend and as the candidate side tightens, which it’s already doing and is expected to further that, not only do we traditionally pass-through the higher pay rate, but it also gives us an opportunity to also widen our spread a bit. So you can look back 25 years and you can see the wage inflation is our friend. I think any reasonable person would project that there’s going to be some wage inflation as things improve.
Tobey Sommer: Thanks. On the social costs that typically dampen gross margins exiting recession and then provide a nice tailwind for subsequent years of recovery, how is this cycle perhaps different?
Keith Waddell: Well, interesting one is on the state unemployment and this time around, the states to get the federal subsidies had to agree not to charge the claims to individual company accounts, but instead to keep them in a general pool. And I could make the case that we are not going to benefit by that, because the general pool increase will likely or could be argued to be less than what the increases would be had all the claims have been charged to our account. I mean it’s been forever the case across the staffing industry that during downturns the previously working temporary employees file a lot of unemployment claims that stay with us for three years to five years as the state’s average that into their rates. So I am cautiously optimistic that because the elevated claims that we read about every day, by and large haven’t been charged to our individual accounts that the one pool concept will benefit us more than it will hurt us, but only time will tell, I don’t know that.
Tobey Sommer: Thank you.
Operator: Your next question is from Hamzah Mazari with Jefferies.
Hamzah Mazari: Over the past few calls there’s been questions about just your capacity and you mentioned it a little bit earlier on in the call about having capacity remaining in the business. I guess, just maybe ask it slightly differently, I guess, at the current capacity levels and given the trends in the business that you are seeing right now, how long do you think you can go without having to hire internally? It sounds like you are doing a little bit in perm or expect to, but I guess in the overall business, when should we expect that to ramp or at what point in the cycle would you want to ramp hiring?
Keith Waddell: Well, clearly on the temp side, we think we have got a couple of quarters anyway that we will be just fine with existing staff. And understand that there is a productivity benefit to us with internal remote work, because we no longer have to staff every single office for peak demand. But instead one office can be assisted by a neighboring office or a distant office remotely when they have peak demands. My point is, we should be more efficient going forward than we have been in the past because we can share our internal resources across larger areas. So it’s not just a matter of because we are recovering, given prior productivity levels we need X number of staff. As I have also talked about, the average tenure of our existing staff is much longer than normal, which also impacts our need to hire. So long story short, as you referenced, we are beginning to hire internally. We are probably a couple of quarters from starting in temp. But even there it will be at a slower pace than it might otherwise have been, because we have got the benefits of remote work, we have got the benefit of our technology tools that we have seen really pay off from us for the last three or four quarters.
Hamzah Mazari: Great. Thank you. I just have one more and I will turn it over. Just on M&A, I know you have done some smaller deals within Protiviti. Is there anything specific to Protiviti that you guys are looking at currently? Are there any chunkier deals or should we expect any smaller deals throughout the remainder of 2021?
Keith Waddell: I’d say that Protiviti is always looking for solution areas for practice groups that fit culturally and strategically with what they are trying to do. They did the Identity Management deal last quarter. And so, I’d say stay tuned, but it’s just -- it’s part of ordinary course of business that they are looking for the practice areas, smaller consulting firms, many times that have the same kind of cultural Big Four background that they have.
Hamzah Mazari: Great. Thank you very much.
Operator: Your next question is from George Tong with Goldman Sachs.
George Tong: Hi. Thanks. Good afternoon. You mentioned that public sector work lifted Protiviti growth by 17% in the quarter. How much did it benefit temp staffing growth by?
Keith Waddell: Virtually zero and it’s a very important point and I am glad you asked the question. The public sector work, while it starts in the lines of business on staffing, it gets eliminated. So that intersegment elimination line you see eliminates all of that work. So the growth rates for temp staffing are not impacted by the public sector work, it’s ex-public sector. The public sector is over on the Protiviti side. And as I just mentioned, you just mentioned, it’s about half of their growth rate, but half of 35% is still a really big number.
George Tong: Got it. Very helpful. And then if you look at performance in the temp staffing business in the U.S. and compare that to Europe. How would you compare the various trajectories of the recovery?
Keith Waddell: Amazingly consistent. If you look at temp and perm, and we disclose U.S. versus non-U.S., I would say they are amazingly consistent. It’s amazingly consistent.
George Tong: Got it. Very helpful. Thank you.
Keith Waddell: Okay. I think that’s our last question. Thanks everyone for joining.
Operator: This concludes today’s teleconference. If you missed any part of the call, it will be archived in audio format in the Investor Center of Robert Half’s website at www.roberthalf.com. You can also dial the conference replay. Dial-in details and the conference ID are contained in the company’s press release issued earlier today.